Operator: Good day, ladies and gentlemen, and welcome to the Comstock Mining Announces First Quarter 2012 Results and Business Update Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, Mr. Corrado De Gasperis. Please go ahead, sir. 
Corrado De Gasperis: Thank you, Pamela. Good morning and afternoon everyone. My name is Corrado, President and CEO, and welcome to our first quarter conference call. I'll provide a brief summary of information included in this morning's release. If you don't yet have the release, you'll find a copy on our website at www.comstockmining.com under News/Press Releases.
 We also have posted a series of videos in the March to Production section of the website. The videos reflect the quickening progress of our construction and production start-up activities. These can be accessed right from the home page of our website.
 Please let me remind that I may make some forward-looking statements on this call. Any statement relating to matters that are not historical facts may constitute forward-looking statements. The statements are based on current expectations and those statements are subject to the same risk and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in the reports filed by the company with the SEC. The risks are also identified in this morning's release and all forward-looking statements made during this call are subject to those same risks and other risks that we can't identify.
 Alright then, let me start off by saying that the first 3 months of the year, we strengthened our management team. We have obtained all the remaining required permits, mainly the new air quality permit, which was such a focal point for us and a launching point for us. We fortified our balance sheet and we made tremendous progress, as I am about to describe in just a few minutes, on our remaining construction activities as we march into production.
 We are rapidly becoming Nevada's newest gold and silver mining company, so let me begin the update, let me begin the update with production.
 During the quarter, we completed the hiring of all of our mine operations team and substantially all of our maintenance personnel. We put together an outstanding team of experienced professionals coming from Nevada companies like Rawhide, Coeur Rochester and Allied Nevada. Our mine operations team has completed its training and has commenced production activity in the Lucerne mine. To date, these activities include the construction of roads, ramps and infrastructure necessary before we begin to move ore.
 We are actively recruiting and hiring the remainder of our process operations, in total, just over 20 employees to be brought on in the latter part of May and June, including metallurgical engineers, crushing and stacking operators, leach pad technicians, refinery operators and assay lab technicians. This process has been synchronized with our production schedule and start-up plan, and we remain on that schedule.
 We have completed the soil sampling program in the Lucerne mine as well. I mentioned on our last call that mercury and lead were used by the old timers on the Comstock between 1859 to about 1910-ish and that we had agreed last year to test the soil and clear any actionable levels of these materials, if there were any.
 I am happy to report, although I'm not surprised, that we did not find any unsafe or actionable levels of these materials in the mine area and that the Nevada Department of Environmental Protection, as we expected, has removed these areas from the risk zone, allowing us to complete the mine construction and commence mining in the Lucerne.
 It's a very, very big step for us. Even bigger is we have received an administrative update to our Storey County Special Use Permit from the County confirming that there is no County limit on the annual tonnage, ore or waste rock, that we can mine, produce or place.
 I know that some of our investors and some of you all had expressed concern about the relative probability of obtaining County permits and all we can say is that the County has really strongly and consistently supported all of these economic activities and this is just another very strong example of that support.
 Overall, this change puts our effective annual tonnage allowance today at about 1 million tons per annum, currently regulated by our Water Pollution Control Permit. And we've already commenced the planning for modifying this permit now that the County limit, or lack thereof, are confirmed.
 Accordingly, last week, our team commenced mining operations and will soon begin moving ore from the mining to a stockpile for crushing. We plan on building a buffer of approximately 20,000 tons of material in front of the crusher once certain components of the mine infrastructure are completed. We have completed the earthwork and the plastic liner for expanding the heap leach pads from its 3 existing cells to 5 cells and are currently installing the final overliner, scheduled to be completed next week.
 We've also completed the installation of the foundation and liner for our expanded Merrill Crowe facility. Yesterday, substantially all of the new Merrill Crowe equipment arrived on site and we've begun preparation for its installation.
 We've also completed the construction of a new 1 million gallon fresh water fire suppression reservoir that we have now filled to supply our fire safety and commercial water needs. We are near complete with ground preparation for the new crushing facility. We have received all major components of the crushing facility on-site except for some of the peripheral dust control apparatus. We've commenced ground preparation and we will commence installation of the crusher in the next few weeks.
 The installation of the crusher and the full system around the crusher is scheduled for early July. Once the crusher is operational and we begin stacking crushed materials, we can expect to start pouring doré within 45 to 60 days of stacking that material. We are very, very much looking forward to the first pour, and we expect that first pour to be a extremely well and pretty well celebrated event.
 We are beginning the marketing of those activities now and we'll actually begin marketing ourselves as the newest Nevada gold and silver mining operation. With production activity started, we can now better focus on mapping out our production growth plans for both Lucerne and the Dayton mine.
 On that point, let me turn now briefly to the mine development activities that are going on to support that growth. In January, we recommenced drilling, initially in Spring Valley. Currently, despite having all of our exploration permits in place, we are only drilling when the soil sampling process is complete. Today, that is primarily in the Lucerne mine. We are near complete in sampling all of our exploration areas, including the east side of the Lucerne and the Dayton, so that we can ultimately expand our drilling activities back onto those sites.
 I should really acknowledge Cindi Byrns, our director of all matters environmental and the rest of our geological and operations team, for their truly historic and environmentally responsible accomplishment so far. All of these actions and strong environmental responsibilities are getting us great notice. We're getting great notice locally, we're getting great notice state-wide and we're getting great notice federally and it's all coming to our sustainable advantage. We should also thank NDEP for their focus on ensuring that all of these activities were done right.
 The Spring Valley drilling began in January this year and lasted 2 months. The program was designed to follow up on the 2009 mineral discovery led by Larry Martin and our geological team. The objective of this program was to verify the continuity of the rich Dayton geology southward into the predominantly unexplored Spring Valley. We used 2 drillers in the Spring Valley to drill a total of 14 reverse circulation drill holes, totaling just over 10,000 feet, and 2 core holes, totaling just over 1,600 feet.
 Our assay showed, and we recently announced, that all 14 RC holes encountered intervals of significant mineralization. This is truly remarkable for us, since we do not have nearly a fraction of the existing historical data in Spring Valley that we have in either Lucerne or in Dayton. On 3 of these holes, we hit significant lengths of significant mineralization, including 215 feet of significant mineralization in 3 zones on 1 hole, 180 feet in 7 zones on a second hole, over 100 feet in 6 zones on the third hole. So these excellent results are very, very much supporting our notion that the geological model of the Dayton and the Comstock extends down into the valley.
 I know Larry was especially gratified and encouraged that one of the previously mentioned holes intersected, because we targeted it from the knowledge derived directly from our 2011 geophysical survey. This bodes very well for the reliability and planning of our future drilling. Currently though, our geological efforts are supporting the development drilling in the Lucerne mine. We are already pushing the development of the resource north and south of where we started mining. Once the soil sampling is complete, we will step out and infill the east side of the Lucerne, and then head to infill the Dayton. The stepped up drilling phase in the Lucerne will provide a mine plan for its expansion. That mine plan will position us to complete the economic feasibility and initiate permitting for the expanded mine. We are scheduled to complete that late this year.
 The infill drilling in Dayton will provide information created, information needed to create a mine plan for our proposed second mine. With that plan, the company can also begin permitting process there, too. These drilling and permitting activities will establish a clear path for production growth from both mines. Our model envisions taking our starting production levels of about 20,000 gold equivalent ounces up to eventually, potentially, 200,000 ounces per annum from the 2 mines. We are summarizing these work plans so that we can provide a clear path to our investors and all of you about that growth potential.
 Our current focus, however, is on production start-up, stabilization and then optimization of the current mine plan. Let me wrap up with a few comments on corporate matters, including cash and liquidity. Cash and equivalents totaled $16 million on March 31. For the 3 months ended March 31, we used cash from operating activities of about $4.5 million, about $1 million of that was required for the soil sampling and analysis program that enabled our production to get started out.
 Net cash used in investing activities included $3.3 million, including for the purchase and construction of plant and equipment. That, as you just heard, is accelerating to completion. Since March 31, we spent an additional $5 million on additional plant and equipment construction, all of this which will be more than funded through equipment financing that we are in the final stages of completing. We believe that our existing cash investments and other capital resources, including the equipment financing that I just mentioned, provide sufficient liquidity to fund the operations and capital requirements for our operations and business plan.
 This includes the increases to our reclamation bond and the remaining capital that we have scheduled to get back into production. Why don't I just summarize some of the achievements that we just overviewed, and then we can go right into questions and answers. So during the quarter, we raised capital and strengthened our balance sheet, we obtained our final permits, we completed the soil sampling, we completed the heap leach expansion through the baseliner. We completed the Merrill Crowe foundation and received the equipment, we completed the water reservoir, we have expanded our experienced mining team and we've commenced mine operations. We have also expanded our known resource potential by hitting 14 out of 14 holes down in the Spring Valley. The crusher will be the last major installation before we commence stacking and leaching material. We are very much looking forward to the first pour this summer and the cash flow that comes from that. It's really our sole focus right now and obviously we are extremely busy with that. We've scheduled our annual meeting for Tuesday, June 19, and an additional visitation day for Monday, June 18 at the mine site. I know already that many of you are planning to visit over the weekend, so you can participate all day Monday and this is very welcome.
 For those who have not visited us in the last 3 or 4 months, you will find a tremendous change in the operation in the mines. So with that, Pamela, why don't we turn it over and take questions. 
Operator: [Operator Instructions] Our first question comes from Jeffrey Wright from Global Hunter Securities. 
Jeff Wright: So a couple of questions on a number of things. Spring Valley, you mentioned the drill intercepts, and those look pretty good there. What is the overall plan on a 43-101 resource? Do you intend to take this to 43-101, and if so, would that be this year? 
Corrado De Gasperis: Yes, so I think, sort of 2 steps in that. So for us, without question, there will be a material cut-off in the update for our technical report, when we get through the Lucerne drilling. We're targeting that for the end of this year and that will be material because it won't only include all of the expansion drilling that we're doing in the existing mine but the step out to the east side to give us the expanded mine plan. And I think most likely that will be a cut-off where we will update just for that. Then we will have the Dayton drilling and the Spring Valley drilling, are both specific parts of the announced 2012-2013 program.
 Those activities will, certainly in Spring Valley's case and most likely Dayton's case, will go into 2013 and then we would expect a second technical report. Really, it's our objective that, that second technical report would achieve the stated goal that we had put out, on time, if not a little bit ahead of schedule. And so I think that we can see at least to those next 2 reports. In that sequence, we do expect that the Lucerne expanded mine will have economic feasibility associated with it, and we expect that the Dayton plan may be preliminary or may have economic feasibility associated with it. The Spring Valley work, we will work towards it being a resource and so that's an objective within 2013, certainly with some of the initial results that we're seeing now. 
Jeff Wright: Okay, so the objective is 2013. We shouldn't anticipate a resource calculation out of Spring Valley in the third or fourth quarters? 
Corrado De Gasperis: Yes, it would certainly be the latter part of the year for Spring Valley. And the only hesitation you hear in my voice is not any lack of confidence in Spring Valley becoming a resource, it's really a question that, as we continue to hit in Dayton and in Lucerne, we'd love to finish those 2 and move on to Spring Valley. As we continue to hit, it may take us a little longer or a little shorter. So it will certainly be in 2013. 
Jeff Wright: Then I think I missed part of the -- as you were talking -- permitting and development at Lucerne, that's what you're talking about would be at the end of 2012 and going into 2013, correct? 
Corrado De Gasperis: Yes, certainly we would like to have all that development drilling, the expanded Lucerne mine plan, the feasibility, and that launches us into the permitting of the expanded mine. 
Jeff Wright: Okay, and what do you anticipate the timeline for that permitting process to be? 
Corrado De Gasperis: For the most part, that permitting would be expanding, in terms of quantity, it would be expanding the existing local and state permitting. But we do not know yet, but it is anticipated that the expanded mine plan would move onto BLM property, which would require a full NEPA permitting process, which typically, we've been estimating is about 2.5 to 3-year process. 
Jeff Wright: Correct, okay. And lastly, back over to Dayton and the production for this year. When do you anticipate you're going to be doing a first pour? Would that be still in the third quarter? 
Corrado De Gasperis: Yes, we're saying by the end of the summer and we're starting to coordinate quite hastily about activities around that event. 
Operator: Our next question comes from Michael Dallmeyer [ph]. Michael is from Comstock Mining. 
Unknown Analyst: I've got 2 questions for you actually. One is based on the -- the Comstock Residents Association had sent out a newsletter saying you guys are in violation of using BML roads to haul ore. I was wondering if you know anything about that or if you can discuss that or...? 
Corrado De Gasperis: Yes. Well, I'm certainly happy to discuss. Our -- I am aware that some notification was sent out regarding BLM notices. And I guess the only thing that I can say is that we have all of our existing right-of-ways. We have all of the permits necessary, and we have started operations. There are certainly some BLM fragments and wedges and things that we avoid if they're not permitted. So I don't -- frankly, I think it's based on some misunderstanding or misinformation, and it's certainly not correct from our perspective. 
Unknown Analyst: So what you're saying is they're just grasping at straws right now? 
Corrado De Gasperis: Well, I mean, I think that they have been very, very effective at challenging every single thing that we have done. I'd like to think it's made us stronger and it's made us better. But to date, it hasn't really resulted in anything, so. 
Unknown Analyst: Okay. And if something would come up, you would address that through the CEO blog and keep us updated or something like that? 
Corrado De Gasperis: If something material came up, I would immediately have to disclose it much, much broader than the blog. And so obviously, that's not the case. 
Unknown Analyst: All right, and my second question is the soil sampling. So I think you stated this already, but we're finally clear to go with the soil sampling for the Lucerne mine? 
Corrado De Gasperis: Yes, so exactly, so we've committed to sampling any of our property that were in the risk zone of having possible mercury and any of those properties that we expected to disturb. So what we've done is gone out and we've tested the entirety of the mining area, the processing area, the east side and the Dayton, okay, because those are the areas we expect to be doing future drilling there. And to date -- and we don't control the sampling. It's done by a third-party.
 And we don't control the reporting. It's done by third-party labs. But to date, all of the reports for the mine have been submitted. There were no exceedances for mercury or lead. There was a tremendous amount of work done validating those points and the safety thereto of all other materials. And NDEP has authorized us and removed those areas of the mine from the zone [ph] so we have commenced production.
 We're not aware of anything for the rest of it that would be meaningful to us commencing exploration. But we're currently focused in the mine and the mine area, so when that report gets finalized, when it gets done, we expect a similar process that ultimately will result in those areas being removed from the risk zone, and we will proceed. And we're very happy about it. We're very proud of the result because the ultimate result is a lasting one.
 The clear proceeds or potential environmental issue from the Comstock, so we think that's a very valuable, really strong thing. It took a little bit longer and it cost a little bit more. We spent over $1 million. I think when it's all said and done, it will be closer to $1.5 million, right, and that's a lot of money. But it enabled the speed and clearance of everything that we want to do, right. So with hindsight, it's money well spent. It also is our properties that we're clearing, and we're very happy about it in the context of our land and our land value. 
Operator: Our next question comes from Peter Massaniso from Ponte Vedra Partners. 
Peter Massaniso: I wonder if we could have an update on the production growth plan for, let's say, the rest of this year, next year and 2014? Am I correct in assuming that all the production in that timeframe will come from Lucerne or does Dayton sneak in there in 2014? 
Corrado De Gasperis: Well, so currently, we have a mine plan for Lucerne. It's clearly the west side of the Lucerne Resource area. And ultimately, the plan is very robust now and as the guys [ph] are pushing the envelope on it, we ultimately expect a 5-plus, 6-year capability from Lucerne. The effort there -- not that this was your direct question, but I think good for me to highlight -- is an improving one.
 We started at 1 million tons per annum. We moved it up to 1.25 million, 1.3 million. We're already evaluating if there's ability to go larger than that, which we think is feasible. And ultimately, we'd like to see Lucerne doing 30,000 ounces just from the initial mine plan. In that meantime, I would say by -- and to your point on Dayton, the Lyon County constituents that we are interfacing with are very keen to see the economic development of the Dayton. 
 If anything, they would prefer it going faster than our current plan calls for. In an optimal scenario, I can see having almost all the prerequisites for the Dayton permitting process in early to mid-2013, and an 18-month process to permit it. That would put us at the end of 2014, and that's probably optimal. So I would think the answer would be no. It would probably be closer to 2015, conceptually before we would start, but hopefully at the earlier part of it.
 And if you parlay that with expanding Lucerne, it really presents a very nice growth profile. We'll have 2 years of growth from the Lucerne mine operation that we have today, and we could layer on the Dayton, and then we could expand the Lucerne. And conceptually, that gives us 4 or 5 years of building up to something very, very substantial. 
Peter Massaniso: So in the past, I think you thought that you could be producing, for the rest of this year, 16,000 ounces. I don't know if that's still a valid number or not. And obviously, that's based on a lot of factors. And then, next year, I think you were doubling that and in 2014, you were increasing it again. Is that fair or is that not valid? 
Corrado De Gasperis: So the annual starting rate associated with about 1 million tons of activity is about 20,000 ounces. And we increased it to about 1.3 million let's say tons per annum. And we see the grading profile improving as we move into the maturing mine plan. It pushes the ounces to about 30,000, okay. The other discussion that we had, which is very feasible, is all of that sits on a one-shift operation.
 So at some juncture, when we're operating stably at one shift, right, we can trigger an increase even from the 2 levels that we just spoke, right. So the notion of 20,000 to 40,000, which I think is what you were referring to in terms of double, is very much right in front of us, right. We'll do it methodically over the next 18 to 24 months. And it generates a lot of cash for this system, so it's very attractive.
 And it can more than fund the development and the permitting, more than, right, to get to the much, much bigger production profile that we're talking about. It also will fund a tremendous amount of expansion in the resource, be it Spring Valley or beyond. And so the strategy of starting with the relatively smaller mine is just now about to pay huge dividends for us. 
Operator: Our next question comes from Gareth Tenner [ph] from Tutorian [ph] Consulting Services. 
Unknown Analyst: My question is, has there been any stock splits since the original GoldSpring? 
Corrado De Gasperis: We did a reverse stock split in 2010, and we have not done anything since then. 
Unknown Analyst: Okay. What is a reverse stock split exactly? 
Corrado De Gasperis: So a reverse stock split is when you have 4 billion shares outstanding and you do 200 for one reverse and you end up with about 20 million shares outstanding. So if you had 200 shares of the stock, you would have one share of the stock. That occurred in 2010. That was before, Gareth, that we recapitalized the company, and it was a necessary prerequisite to recapitalize the company. 
Unknown Analyst: Okay. I'm asking because I bought 40,000 shares original GoldSpring. 
Corrado De Gasperis: Right. So, also, when you do a stock split like that, it shouldn't affect the value of your holdings, just the number of the shares that you hold. 
Operator: [Operator Instructions] There are no further questions on the phone line, sir, please go ahead. 
Corrado De Gasperis: We appreciate everybody's support of the company and everyone's attention to the company. Please let us know if you have any questions by calling either I or Kim Shipley directly. And please, we'd love to see you come out for the shareholders' meeting on June 19th. Have a great day. 
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.